Operator: Good morning and welcome to the Scorpio Tankers Inc., Second Quarter 2022 Conference Call. All participants will be in listen-only mode. [Operator Instructions]. I would now like to turn the conference over to James Doyle, Head of Corporate Development and Investor Relations. Please go ahead.
James Doyle: Thank you for joining us today. Welcome to the Scorpio Tankers second quarter 2022 earnings conference call. On the call with me today are, Emanuele Lauro, Chief Executive Officer; Robert Bugbee, President; Cameron Mackey, Chief Operating Officer; Brian Lee, Chief Financial Officer; Lars Dencker Nielsen, Commercial Director. Earlier today, we issued our second quarter’s earnings press release, which is available on our Web site, scorpiotankers.com. The information discussed on this call is based on information as of today, July 28, 2022 and may contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosure in the earnings press release, as well as Scorpio Tankers SEC filings, which are available at scorpiotankers.com and sec.gov. Call participants are advised that the audio of this conference call is being broadcasted live on the Internet and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations page of our Web site for approximately 14 days. We will begin in a short presentation today. The presentation is available at scorpiotankers.com on the Investor Relations page under Reports and Presentations. The slides will also be available on the webcast. After the presentation, we will go to Q&A. For those asking questions, please limit the number of questions to two. Now, I'd like to introduce, our Chief Executive Officer, Emanuele Lauro.
Emanuele Lauro: Thank you, James. Good day everyone. In the second quarter Scorpio Tankers generated its largest quarterly profit in the company's history. The quality of the company as an investment continues to improve. And we are positioned to create shareholders value in what we believe will be a multiyear cycle. We also believe consistent with our actions that the best way to do this is first through improving our balance sheet. In the first half of this year, we reduced our outstanding debt by $511 million. And in addition, our pro forma cash balance as increased by 360 million to 591 million through July. As we start the second half of the year, the company has declared repurchase options on six MRs under sale leaseback arrangements for $95 million. With this and scheduled amortization, we will reduce our debt by almost 700 million in the first nine months of the year. That counts for a 22% reduction in overall indebtedness. This debt reduction combined with rising asset values leads to a material improvement in the company's loan to value, as well as net asset value. The third quarter earnings have started strongly. We have booked 44% of the days in the third quarter at a rate close to $45,000 a day. If we were to average $10,000 less so $35,000 a day for the entire third quarter. The company pro forma liquidity would be close to 700 million at the end of Q3. Our customer expects the current market conditions to be sustained, as evidenced by the increase in time charter rates, duration and activity. And we agree with our customers. Global inventories remain near historic lows. The reopening of the global economy from the COVID-19 pandemic continues to increase the demand for refined products and seaborne exports. Demand for product tanker is expected to increase over the next few years while supply remains constrained. And as we've mentioned before, there is a record low order book, an ageing fleet and upcoming environmental regulations coming into play. To conclude, our top priority remains reducing our leverage and increasing our liquidity. Thank you for your continued support. And I will now turn the call to James for a brief presentation.
James Doyle: Thank you, Emanuele. Slide eight please. Our thesis and outlook remain the same as they did at the start of the year. We expect quarterly increases in refined product demand as the global economy reopens from COVID 19 pandemic against historically low inventories and constrained supply curve. Lars will speak to the factors that have resulted in a strong rate environment. But first, I will review a few key points as to why we expect the current strength to continue. Slide nine please. At a high level, it may appear that Russia's invasion of Ukraine is the driver behind the current strength in the product tanker market. While it certainly created significant commodity price volatility, we have not seen shifts in Russian refined product exports going to Europe. Year-to-date, European imports of Russian refined products have increased slightly year-over-year. And the European diesel deficit shown in the lower right-hand graph is less about the conflict and more about a reduction in refining capacity and a shift to renewables. However, the EU has announced plans to reduce Russian imports refined products by next year. If European countries were to completely ban Russian product imports, it is expected that these hydrocarbons would flow to Africa, Asia and Latin America. To replace the lost Russian imports, Europe would have to source barrels from the U.S., Middle East, India and Asia. In the event this happens, there would be a substantial increase in ton miles as every replacement scenario requires replacing a barrel from further away. So what's been driving the market. Slide 10 please. Similar to Europe's diesel deficit, and regardless of the conflict in Ukraine, there is a global mismatch of refined products. However, continued improvement in demand as the global economy reopens from COVID-19 has exacerbated this mismatch. For several quarters refined product demand has continued to outpace supply. Despite an increase in refinery utilization inventories remain at historically low levels, and the increase in supply has not been enough to offset the increase in demand. This has been most evident global diesel market, but similar scenarios exist for gasoline and other refined product. The supply and demand mismatch becomes quite clear when looking at refining margins, which reached record levels remain extremely strong. We view elevated oil prices and refining margins not as temporary but rather reflect consistent under investment in the supply chain. Reason Brent crude oil is currently trading at $112 per barrel while diesel was trading at 140 is because there's not a shortage of crude oil, although that may come later, but a shortage of refining capacity. Put differently, global refined product demand is at or above pre-COVID levels more refining capacity is lower and more dissipated than before COVID. This has led to an increase in seaborne export and ton mile demand for refined products as product tankers serve as the conduit to reallocate refined product barrels around the world. Slide 11 please. Changes to the global refining system continue to increase ton mile demand, which is the quantity of cargo multiplied by the distance it needs to travel. This is important because an increase in ton mile demand tightened supply and as a driver for higher freight rate environment. From 2019 to 2021, about 2.6 million barrels of refining capacity closed, and a reason why refined product prices remain so high today. After a refinery closes, in most cases, the loss output needs to be replaced with imports. As you can see lower left as Australia's refining capacity declined, refinery product imports have increased to replace the lost production. Over the last decade, we have seen a structural shift in refining capacity, which is moved further away from the consumer and closer to the wellhead. Excluding China, export-oriented refining capacity additions in places like the Middle East have offset closures of older, less efficient domestic refining capacity in places like Europe. Simply these refinery changes lead to an increase in seaborne exports of refined product and the distance those products need to travel. New export-oriented refining capacity additions in the Middle East, U.S. and India will help to alleviate the global shortage in refined products over the next few years. However, it's difficult to change refining capacity in the short-term. And thus we expect the global supply demand tightness and refined products to continue to persist. Slide 12 please. Our view at the start of the year and now remains the same, refine product demand continues to increase as COVID restrictions ease. Given the challenge for refiners to increase main play capacity in the short-term, we expect existing refining capacity to continue to operate at higher utilization levels. We have seen this in the U.S. Gulf, where refineries have operated at 97.6% utilization over the last four weeks, while diesel exports have hit record highs. Seaborne exports of refined products have been above pre-COVID level since March, and the underlying refined products market is expected to get tighter rather than going forward. We expect refined product demand to increase by an additional 2 million to 4 million barrels a day through the end of this year. If 25% of this increased, demand is exported, seaborne exports of refined products will increase by an additional 500,000 to a million barrels per day. We started to see the additional uptick in volumes in June and July. With inventories at have historically low levels, the ability to supply demand from inventory draws is limited. And thus refinery runs and exports will need to increase. These developments create a very constructive environment. Seaborne product exports and ton mile demand are expected to increase 3% and 10% this year, and we see several scenarios where this could be higher. Next year seaborne exports in ton 10 miles are expected to increase by an additional 4% and 6% respectively. And these demand increases will be met by very limited fleet growth. Slide 13 Please. The product tanker order book is at a record low with 5% of the existing fleet on order today. Shipyard capacity is fully short-term orders from other shipping segments such as containers and gas. With only 19 products ordered year-to-date, we do expect more orders but even if those were ordered today, it would not be delivered until 2025. Unlike other sectors, product tankers were not built in mass until the early 2000s. So scrapping has been minimal and basically everything that's been delivered hasn't left the fleet. Today there are 249 product tankers 20 years and older by 2025, excluding scrapping, it will be 664 product tankers 20 years old. Perhaps more than half of the fleet will be 15 years and older by 2025 without additional rebuild motors. Using modest scrapping assumptions product tanker net fleet growth will average 0.3% in 22 and 23 before going negative. However, if scrap rate that reflects the age profile of the fleet supply growth is essentially zero next year before going negative in 24 and 25. All of this said, it's likely that the product tanker fleet trading in clean petroleum products will shrink over the next few years. Slide 15 please. The quality of Scorpio Tankers is an investment and balance sheet continues to improve. As Emanuele mentioned, our focus has been on improving the balance sheet through debt reduction and maintaining a strong liquidity position. In the first half of this year, the company reduced overall indebtedness by $511 million. Net debt has also declined almost $750 million from the start of the year through July 27. In addition, we recently gave notice to repurchase six MRs and sale lead arrangements for $95 million, further accelerating the deleveraging of the company. This voluntary debt repayment along with scheduled amortization, and debt repayment related to a vessel sale we will reduce our indebtedness by close to $700 million in the first nine months of this year. At the same time, given the strong rate environment if the fleet average is $35,000 a day in the third quarter, the company could have close to 700 million in pro forma liquidity by September. This would result in a net debt reduction of 1.1 billion in the first nine months of the year. Slide 16 please. Scorpio Tankers has tremendous operating leverage. Every increase in spot rates above are all in breakeven goes directly to the bottom-line. So far in the second quarter the fleet has surged TC rate of $44,800 per day. Assuming product tanker rates were to average $35,000 a day for the year, the company would generate almost a billion dollars in free cash flow before debt repayment or a little bit over $20 a share close to a 50% free cash flow yield from yesterday. If you include debt repayment, the company would repay $4.20 per share in debt. And then it's 742 million or 12.60 a share in free cash flow increasing the NAV of the company by $16.80 per share. And now I would like to turn the call over to Lars for an update on the factors leading to the current strong environment. Slide nine, please.
Lars Dencker Nielsen: Thank you, James. Over the last few months, we have witnessed a solid and constructive market across all the green product tanker segments. In my view, this is the real and sustainable market recovery that we have highlighted since 2019. And before COVID came and delayed the expected return of the healthy product tanker market. The rate environment for Scorpio’s modern fleet in all segments and geographies are very strong, with spot rates for LR2 trading today at $50,000 to $60,000 per day, MRs at $40,000 to $50,000 per day and the handy segment trading at $30,000 to $40,000 per day. The right level for both index and non-index voyages. We can today see a robust diversity in cargo mix and destinations, providing owners with greater flexibility and optionality. The time charter market has taken a considerable upturn, and we are seeing substantial interest of first-class charters for long-term transactions. Today we see elevated interest for three-to-five-year deals in LR2 and MRs where rates have increased to $23,000 per day for MR and 30,000 for LR2. It is reasonable to assume from this substantial activity that our customers are aware, the market has firmly transitioned into a sustainable and meaningful recovery. Going forward for the second half of the year. We expect cargo flows from the Middle East and India to increase the art from this key export region appears to favor more voyages over the coming weeks limiting swing barrel supplies to Singapore and raising supplies to Europe. Again, improving the incremental ton mile demand equation. U.S. Gulf exports of distillate and gasoline are now topping 2 million barrels per day, which is an all-time high. And even with the recent weakening in global refining margins, U.S. margins are currently averaging 22 barrel at the prompt. And U.S. Gulf exports continue unabated to Latin America, we anticipate that with the plant maintenance at three Brazilian refineries and the still firm Argentine power sector demand, this will add to the tightness in the Atlantic basin product markets and will support distillate margins this autumn. We anticipate Brazilian imports will need to rise by up to 340,000 barrels per day between August and October, pulling further supplies from the U.S. Gulf and incremental swing barrels in the east of Suez all again very positive for product tanker demand. The global market will remain short diesel as the deficit in refining capacity remains unresolved. This is despite Europe still importing Russian barrels and should Europe sanction these barrels they will have to compete with barrels further afield. It is important to keep in mind that the global product markets are reacting to their own refining capacity and stock constraints regardless of the regional dislocations brought about by the Ukrainian conflict. We have yet to feel the real benefits from the new Middle East refineries Jazan in Saudi Arabia and Al Zhour Kuwait coming on stream later this year. [ULN] [ph] Refineries are moving into turnaround, reaching approximately 1 million barrels per day by September, adding to their requirement to maintain imports. Products, stock levels are low in many areas, and the market cannot flex with demand, as was the case previously. The fleet is aging, there are very low deliveries. And we are the doorstep of increased environmental regulations in January 2023, reducing again, effective supply capacity. And with that, I'd like to pass on over to Robert. Thank you very much.
Robert Bugbee: Thank you, Lars. Thank you, everybody, this morning for attending. Obviously, the present looks absolutely fantastic. And we're really, really focusing on the present as well. But, we can't help thinking that however good the present is the future does look fantastic too, especially with the constraints around refineries and the actual new building order book as well, without both those two factors, the lack of investment in refineries plus the new order book is really very unusual for any shipping market at all. So I don't have no more to do let's just go straight to Q&A please.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question will come from Omar Nokta of Jefferies. Please go ahead.
Omar Nokta: Thank you. Hey, guys. Good morning and good afternoon. First off, congrats on a strong quarter. And clearly your guidance here for the third quarter is looking even stronger. Spot markets been strong. Eco ships you guys have been fantastic, scrubbers are paying off in a big way. I did want to ask kind of a bigger picture on the market. And Lars you touched on this. The past few months, we've seen these very, very strong refining margins across the globe record levels in Europe, Singapore. We have seen those numbers come off quite a bit here in the past several weeks. How do you see this affecting the market in the near term and as we kind of go into the rest of the second half?
Lars Dencker Nielsen: Hey, Omar, welcome back. Look, as we've discussed before, it's back to the fundamentals that we've been discussing for a while now. And they're all in play, that we have to think about this in kind of in its totality, the stock drawers are important that we've seen over the last 18, 24 months. The refining margins, of course, play a very big role. But it is only a small part as part of the overall picture. And I think as we move into the fourth quarter, we'll start seeing a pickup again, in terms of that. The issue really is that there is logistical issues all over the globe. And the problem is sourcing restocking storage tanks, replacement product is going to go further afield, and I think that's going to play a much stronger kind of position overall in the tanker market. So I think we're going to start seeing the ton mile really playing a much bigger role than we've seen in the past.
Robert Bugbee: I would also add to that Omar that it's not like the refinery margins in the last few weeks have been low. They may have come off, in the same sense as the oil price may have come off from its recent highs. But it's still been a fairly healthy market.
Omar Nokta: That's true, Robert. Good point. Yes, I guess it's recently biased. But yes, they fall into levels we haven't seen. They fall into highs still, that we haven't seen in years. I guess, you asked about we've seen in the release, you booked nine ships on these three to five year charters at good rates and really rates we haven't seen probably, at least these terms, going back to maybe pre financial crisis. Lars you also mentioned that that market looks fairly liquid the time charter market, I guess, how do you guys see yourself deploying your fleet? Now you still have a good amount of spot exposure, but you have taken these nine ships and put them on charter? What do you guys think about adding more, do you expect to put a significant amount of your vessels on contract or stay primarily still spot focus?
Robert Bugbee: To that one, Lars, I think that we're going to take primarily spot focused, I mean, nine ships may sound a lot from nothing, and nine ships will be a lot in most fleets. But that's less than 10% of our fleet, we're still over 90% long. And I think that's a very smart thing to do when the actual time charter rate anyway on an actual asset value basis are throwing off such a great return that the reach numbers they are throwing up double-digit per share cash flow. So by itself, the rates are very, very strong. And so to have a handful as we're going through, as we said before, where we're stabilizing the balance sheet to really create a solid, rock of a balance sheet here to provide shareholder, return and ultimately capital return, then, this is a great little step here. It shows our potential lenders if we start to refinance later, in terms of lowering our financial costs, lowering our break evens creating even more cash flow for the shareholder to show commercial lenders, these three-year charters, potential five-year charters. That takes a lot of the guesswork out, new investors too. I mean, we win a bunch of charters as Lars was explaining high-quality charters that are willing to pay three to five years for good rates. We don't have to put our own base cases in front of lenders, we can say, look, this is what a three-year time charter rate is, do your numbers on this is a base case, and they get a lot of comfort and security. And any new shareholder can probably use that as a base rate in the low case fairly comfortably knowing that people will have way more information enough. So either the refineries and the oil companies believe that the rates have to be going forward substantially higher than those charter rates, otherwise, they would not take them and for a considerable amount of time, otherwise they wouldn't take them for three year or five years. So I think it's far more a signaling and a comfort level around than it is to certainly not a market call was very bullish about the market.
Omar Nokta: Thanks, Robert. That's great. Maybe just you had me thinking just now just regarding those charters, I guess we can just simply say, in passing, yes, three to five year charter, it is pretty significant. Can you compare that? I guess the last time we saw big surge in time charter demand was I guess the whole floating storage trade from a couple years ago, early in the pandemic.
Robert Bugbee: I will ask Lars and that wasn't very a big surge compared to this. Those was the one-year rates, two-year rates, nothing like six months rates. So what these are across a long period two, three months now gathering pace every week for a lot of different charters across all of the sizes and the product market. We haven't seen this since 2004 or five or six. Lars?
Lars Dencker Nielsen: Yes, you are spot on Robert. No, I mean, what happened in during the super-contango in 2020, it was kind of a window of six to eight weeks, you saw time charter rates that were kind of reflecting the value of the contango and charges were done for six months. And there was maybe one or two done for a year. And that was it.
Omar Nokta: Yes, okay. Thanks, Lars. We can feel the market today. And thanks, Robert. Things looking great. Well done. And I'll turn it over.
Robert Bugbee: And Omar, good luck and congratulations on your move.
Omar Nokta: Thank you. Thanks, Robert.
Operator: The next question comes from Greg Lewis of BTIG. Please go ahead.
Greg Lewis: Hi, thank you. And good morning, everybody. And yes, I will reiterate Omar's congrats on the strong quarter and the strong quarter bookings. Guys, Robert, one of the things we always get from investors is around what -- how Scorpio plans to generate or return cash to shareholders. And it's funny that we're talking about a couple quarters ago, this was at the bottom of the conversation and just give what we've seen in the markets over the last couple of -- this year, it's really becoming front center. And you did buybacks and stock during the quarter. Just if you could kind of remind -- if you could kind of rank order how you think about capital allocation, realizing that, there is still a lot of debt on the balance sheet that needs to be addressed. Just kind of where you are had that, and how maybe in this bargain, we can think about in 2023 kind of plans for Scorpio’s cash flows.
Robert Bugbee: Look, I think the first part you started off with is -- is very key, that it was only six months ago that there was questions from the investment community itself as to the basic liquidity of the company itself. And we were very clear on our first quarter conference call that we intended to use the cash flow during that second quarter to take down debt to increase liquidity, which we've done. We also said that we would be there to buy stock if there was any, what we consider dislocation in pricing -- severe dislocation in pricing and sort of a liquidity event. Day that sort of happened, we weren't afraid to dive in we bought the maximum, we were allowed to buy regulation on that day. And so we feel that we've been doing what we said we've been doing. We also said that we were going to continue that policy through the third quarter that we were going to approach our board with regard to the question you've posed until into September, that we weren't going to anticipate spending or allocating capital that we hadn't yet got. You can see from the presentation, it's quite right where we are. If we get, we could even have lower rates for the balance this quarter and we could end up with an enormous amount of liquidity even if we pay forward another $100 million to take down of leases. And, yes, as we take down the debt too, we will be lowering the breakeven over time. It will be a great counterpoint against any potential rising interest rates, et cetera. And that's the first step. And the first step here is to, as Emanuele said at the beginning to improve the quality of the investment. So we are going to stay that course through this third quarter. And what I can tell you is, more or less tell you what is not going to be on the list, when we come back in September and start discussing things by ourselves, which is we won't be acquiring assets. We won't be ordering new buildings. We are going to -- want to have a lowered balance sheet and depending on where the prices of the stock compared to the net asset value, et cetera, will help determine how your allocation of free cash, once you've reached your various debts that targets will be whether that's going to be stock buybacks or whether it would be dividends later. But it's way too premature for us to really be give any exact view on 2023 right now.
Greg Lewis: Okay, super helpful. And then just as we think about products, and just given the demand for products globally. I believe what earlier this month, China, provided its quotas for its refined product export, Lars, any kind of comments around what is coming out of China in terms of the market where we are today? And is that, you view that kind of is the headwind that could become a tailwind as we kind of move forward here? Or it just seems like we're hearing conflicting information around China's exports or lack thereof products?
Lars Dencker Nielsen: Look, Greg, the refine utilization in China for the main refineries are much lower than their other places. So I won’t argue that anything that comes from China is going to be in the positive as they increase. They came up with some new allocations this week. We're starting to see in the prompt as well more products coming out in particular with diesel from China. So throughout the last three or four months there has been a steady supply of cargos going pretty much everywhere, U.S. West Coast on the gasoline but this leads mixed products into Australia and also long haul going into Europe with distillate. And the thing that's really interesting is that it's not only on MRs that we are also seeing a lot of LR business being concluded out of China, and most for that matter, also out of Korea and Japan as well. So the cargo mix is interesting. The volume I haven't seen very much of impact on rates. And I think it's fair to say that as we are moving into the third and fourth quarter, if there was an incremental increase in exports, they will benefit quite positively on the overall market in Asia.
Greg Lewis: Okay, super helpful. Thank you very much everybody.
Operator: The next question comes from Liam Burke of B. Riley. Please go ahead.
Liam Burke: Thank you. If we could stay on the macro for a second, the redistribution of global refinery capacity and margins and inventories are pretty clear. How much thought or concern is there about the potential volatility of overall crude demand as we look into the end of the year and 2023. I know the expectations are for a bit of increasing consumption but does that ever work through your thought process on the macro?
Robert Bugbee: James, why don’t you take that?
James Doyle: Liam, good question. Absolutely. It will be interesting to see what happens with crude oil when U.S. and global SPR eases. We think, and our view is that, both crude oil and refined product, markets are going to be extremely tight going forward. And we should see continued elevated pricing as a result of lack of investment in the supply chain over the last several years.
Liam Burke: Okay. Your dividend has been very consistent through the cycle in good times or bad. Is there any thought as to with the stronger end market to give it a -- to take another look at it and understanding that you want to be fairly consistent in your path?
Robert Bugbee: Yes, I think that the, as we said previously, that comes to how we're going to allocate these cash flows. And the first thing is to -- the first thing that sort of, let's say I've sort of observed over time here is that whenever in these bull cycles, you embark on something, whether it's buybacks, or whether it's dividend policies, et cetera, et cetera, you better be doing that at the point that you're ready to really make it consistent and keep it going throughout. I mean, in my last company, we actually waited out the first year in the strong market before we embarked on a share buyback, but ultimately bought back 37.5% of the company. And other companies who embarked on dividend payment policies were very successful in their valuation, when they did so from lower leverage positions, and we are able to constantly do it. And so I think that the important part to us or what you said, remaining consistent in doing that. And, obviously, that will become one of the topics that are alternatives that we could use in time. But right now, we don't want to get ahead of ourselves. We don't want to think or discuss in detail, money that we haven't yet earned. This has happened extremely quickly, this turnaround, this move from a company where we were keeping our mindful on liquidity, making sure we didn't have to do any dilutive offerings or anything like that to a company that's generating enormous cash flow and capital. And you can see yourself that if you once you start modeling, the guidance we fill in, and what we're doing there that the company really is transforming very fast and creating that really solid balance sheet that you can really look at providing not something that looks good in a headline or a news flash with regard to returns on capital. The things that are more permanent and more continuous. So we're just going to wait on that if that's okay. Thanks, Liam.
Liam Burke: Okay. Thank you, Robert. Thank you, James.
Operator: The next question comes from Turner Holm of Clarkson. Please go ahead.
Turner Holm: Hey, good morning, gentlemen. So I was struck by the management commentary in the earnings release and also in the prepared remarks, and you're all are talking about structural changes in the market, rather than a sort of brief, cyclical change. And, of course, you put the nine long-term charters, I guess, historically, strong levels. But on asset values, I mean, you're still seeing at least what's being quoted below Newbill parity. So I'm just wondering, what you all are seeing on asset prices, as we think about no changes in going forward.
Robert Bugbee: They're going up, asset prices are going up as a result -- primarily as a result of the charters coming into the market, the security, the income provides ability to finance that, combined with stronger spot cash flows, has created more cash and capital into the market, and a tremendous scarcity of new building deliveries and the requirements of many companies to renew their fleets. And then, there's a clock on a product tanker. And there's such a difference in earnings profile between a modern [indiscernible] vessel compared to older [indiscernible] design that's leading to the prices there. And you're correct, they haven't yet reached newbuilding parity, but the negotiations that are going on right now that we're hearing about would indicate the prices are about to take yet another step up. And that's perfectly consistent with the increases in the duration and the dollar price of time charters.
Turner Holm: Thanks, Robert. And then just jumping back to the market. I mean, I think a lot of the talk in the product tanker market has just been about the disruptions to trade to the Russia-Ukraine situation. But I think as James referenced, it's worth noting the EU embargo, for example, isn't, hasn't gone into effect yet. And Lars or James, so just wondering if you could guide us through your thinking for the rest of the year. I mean, obviously, very strong booking levels for the third quarter. Any thoughts so far on, how the market could develop, especially, is that that EU embargo comes into place towards the end of the year?
James Doyle: I think that, the moment that the EU embargo becomes reality, the ton mile story goes out the window, because the distance is simply going to supercharge the base case scenario in terms of how far product in particular distance has to move to satisfy that demand. And you've got demand expecting to increase about 2 million to 4 million barrels per day throughout the end of the year. That product needs to be sourced further afield. And you look at it just today's market, and you look at the volatility that we're seeing and experiencing and what normally should seasonally be very, kind of a slow market during the end of the summer. But if you look at the U.S. Gulf just this week for the MRs and this is on the back of all the diesel exports that are heading down to Latin America, as I was mentioning earlier on, I mean, there is so much product that needs to be moved. And the thirst for the product is pretty much insatiable. And so suddenly people say, oh, there's been a bit of a lull in the U.S. Gulf market. And then from Monday to Thursday, today, you've seen the market rally by far across by $700,000 increase, you've seen the TA move, was going to 242, towards 335. You see, Chile, runs move from 2.8 million to 3.8 million. This happens with such veracity, that just tells you that, this capacity utilization that's in the market is across the board. So, if Russia is going to turn up its tap off as far as supplying Europe, that product is going to go to Latin America, go to Asia, but then at the same time, you've got all this other product that needs to go back into Europe. So back to my point ton miles is going to go through the roof. So irrespective what the market says that the dislocations of Russia today. It's immaterial in terms of the product market right now, because every market out there, irrespective of Russia, is requesting and needs the oil. And it's being supplied further afield. So it's a very bullish scenario that I would paint if you suddenly come up with say Russia has to shut off his taps for Europe.
Turner Holm: Thank you very much, gentlemen, appreciate it. I will turn it back. This concludes our question-and-answer session. I would like to turn the conference back over to Emanuele Lauro for any closing remarks.
Emanuele Lauro: Thank you, operator. I don't have any closing remarks. I just would like to thank everybody for their time today and look forward to speaking to you soon. The call concludes here. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.